Operator: Welcome to the MetLife Fourth Quarter 2017 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, instructions will be given at that time. As a reminder, this conference is being recorded. Before we get started, I would like to read the following statement on behalf of MetLife. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of the federal securities laws, including statements relating to trends in the company's operations and financial results and the business and the products of the company and its subsidiaries. MetLife's actual results may differ materially from results anticipated in forward-looking statements as a result of risks and uncertainties, including those described from time to time in MetLife's filings with the U.S. Securities and Exchange Commission, including in the Risk Factor section of those filings. MetLife specifically disclaims any obligation to update or revise any forward-looking statement, whether as a result of new information, future developments, or otherwise. With that, I would like to turn the call over to John Hall, Head of Investor Relations.
John A. Hall - MetLife, Inc.: Thank you, operator. Good morning, everyone, and welcome to MetLife's fourth quarter 2017 earnings call. On this call we will be discussing certain financial measures not based on generally accepted accounting principles, so-called non-GAAP measures. Reconciliations of these non-GAAP measures and related definitions to the most directly comparable GAAP measures may be found on the Investor Relations portion of metlife.com, in our earnings release, and our quarterly financial supplements. A reconciliation of forward-looking financial information to the most directly comparable GAAP measure is not accessible, because MetLife believes it's not possible to provide a reliable forecast of net investment and net derivative gains and losses, which can fluctuate from period-to-period and may have a significant impact on GAAP net income. Now joining me this morning on the call are Steve Kandarian, Chairman, President and Chief Executive Officer; and John Hele, Chief Financial Officer. Also here with us today to participate in the discussions are other members of senior management. You may have noticed that last night we released an expanded set of supplemental slides. They are available on our website. John Hele will speak to those supplemental slides in his prepared remarks if you wish to follow along. After prepared remarks, we will have a Q&A session. Understanding there is a lot to unpack today, if need be, we will extend our Q&A session beyond the top of the hour. Still, in fairness to all participants, please limit yourself to one question and one follow-up. With that, I will turn the call over to Steve.
Steven A. Kandarian - MetLife, Inc.: Thank you, John, and good morning, everyone. Most of my comments this morning will focus on the issue within our Retirement and Income Solutions business that caused us to delay earnings and take an after-tax charge of $331 million or $510 million pre-tax. Simply put, this is not our finest hour. We had an operational failure that never should have happened and it is deeply embarrassing. We are undertaking a thorough review of our practices, processes and people to understand where we fell short and how we can reset the bar at the high level people have come to expect from us over our 150-year history. The Board of Directors is fully engaged on this issue as well. Let's start with MetLife's decision to postpone its earnings release by two weeks. The question we have been getting is, if you knew about this issue on December 15, why couldn't you report earnings as planned on January 31? What we did not know until late in the closing process is that we would have a material weakness and would need to make revisions to our financial statements going back five years. This created a significant amount of work. Rather than to rush the process and risk an error, we decided to take an extra two weeks to provide the most accurate information possible. As you know, we preannounced our high-level financial results on January 29, and our underlying performance in the quarter was solid. We reported fourth quarter net income of $2.1 billion, which reflects the current period after-tax impact of $70 million for the group annuity reserve addition. The remainder of the charge is accounted for as revisions to prior period financial statements. John Hele will discuss the impact and geography of the reserve addition and cover our fourth quarter and full-year financial performance in greater detail Let me describe what happened and how this came to light. MetLife has been in the group annuity business for a very long time. The charge we took relates to a business we wrote going back decades. All the people in pension plans whose obligations we now assume are already retired and in pay status. By contrast, in earlier periods, some of them were not yet in pay. They had earned the benefit, but were years or even decades away from retirement and often had left their companies. These type of annuitants are not always easy to find. What became clear to us is that what had been standard protocol for finding retirees who were owed benefits was no longer sufficient. Recently, the Department of Labor has been urging companies that sponsor pension plans to do a better job of finding their own unresponsive and missing participants. A pilot program MetLife conducted in 2016 and 2017 to affirm that with better outreach we could establish contact with more people. In the 1990s, MetLife established a practice of releasing reserves when the company could not establish contact with an annuitant. In retrospect, based on the process we had in place, this was an error. The reserves released in any single period were not material to MetLife's financial statements. But over time, it led to the charge we announced two weeks ago. In October, when this issue was brought to the attention of the new head of our U.S. business, Michel Khalaf, and me, we moved with a strong sense of urgency to make it right. This has not excused the organizational failure to escalate the issue sooner. We needed to do three things: establish what happened; improve our processes to do a better job locating retirees; and assure that we pay everyone we find, as we always do. As we noted publicly in December, we launched an assessment into what happened. While I can report that to-date MetLife has not found any evidence of intentional wrongdoing, I can also tell you that we are taking action to hold people accountable. In addition, we have taken steps to strengthen our processes for finding unresponsive and missing annuitants. These include additional mailings, certified mailings, phone calls and the use of additional third-party firms specializing in locating missing participants. For everyone we find, we will commence payments as soon as they elect to start their benefits. We'll also pay interest on back payments for those we find. The interest rate will be comparable to that used by the Federal Pension Benefit Guaranty Corporation and this amount is already reflected in the $331 million reserve charge we took. For context, MetLife's group annuity reserves in the RIS business are roughly $40 billion. MetLife's core purpose is providing financial protection to our customers. Central to that purpose is the timely payment of benefits, which makes this issue especially distressing to me. I am deeply disappointed that we fell short of our own high standards. Our customers deserve our best efforts to find and pay them. We will do better. I wish this issue have been escalated earlier for remediation, MetLife discover the issue itself, self-reported it to our primary regulator, publicly disclosed it, and is taking all necessary steps to fix it. I will now discuss some of the ramifications of the group annuity issue. As mentioned, we took a charge to restore reserves previously released as well as accrued interest. Most of the charge is associated with periods prior to 2017. Given the size and nature of the issue, management has identified a material weakness in internal control over financial reporting. This deficiency is only related to group annuity reserves. The material weakness we identified had two components. First, we had a lack of adequate controls over the administrative and accounting practices that led to the release of the reserves. Historically, MetLife would try to reach annuitants twice – once when they approached the normal retirement age of 65 and a second time when they approached the required minimum distribution age of 70.5. As noted, we improperly released reserves for those annuitants who were unresponsive after the second attempt. The second component was failure to escalate sooner. The reserve release process issues were not communicated or escalated on a timely basis throughout MetLife, which hindered our ability to identify and address them. We are working hard to remediate the material weakness and expect to make progress in 2018. John Hele will discuss the material weakness further. Once the scope of the group annuity issue became clear, prudence dictated a global review of similar administrative and accounting processes across the company. This review, which was started in December 2017, is now complete. The review did not identify any additional material issues. And the amount of the charge fall slightly below our preannounced range. We are also cooperating with our regulators on this matter, including the New York Department of Financial Services as our primary insurance regulator as well as the Securities and Exchange Commission as our securities regulator. I would reiterate that this is an issue MetLife self-identified and self-reported. The group annuity business is an important business to MetLife that leverages many of the company's core competencies, including asset management, liability management and underwriting. We have been among the industry leaders in this business for decades and expect to remain so. We take seriously the responsibilities we bear. Enhancing our administrative procedures in this business will position us to better serve our customers. Before I close, I want to update you on our capital management activities. During the fourth quarter, we completed repurchases on our prior $3 billion authorization and began repurchases on our most recent $2 billion authorization. All told, we repurchased $621 million of shares in the fourth quarter and returned more than $1 billion to shareholders overall, including dividends. We've continued buying in the market in 2018, repurchasing $391 million of our shares and have $1.4 billion remaining on our current authorization. To be clear, the capital management plan that we discussed on our outlook call remains in effect. We intend to complete our $2 billion authorization and execute the exchange offer for our remaining stake in Brighthouse before the end of 2018. In conclusion, I want to reiterate how committed we are to making the necessary changes at MetLife. I am well aware of our recent history. We have had a number of charges that took the market by surprise. At the same time, I believe the strategy we have put in place for MetLife is correct. My goal for the company and the goal of this entire management team is to leave MetLife better than we found it. In our view, that means simpler, less capital-intensive and with more predictable free cash flow. We are confident that MetLife's strict capital budgeting process will position the company to perform well in any economic environment. Our task now is to insist on the same level of discipline in how we execute. It is not enough for MetLife to have the right strategy; operationally, we must have a culture of continuous improvement and we will. With that, I will turn the call over to John Hele.
John C. R. Hele - MetLife, Inc.: Thank you, Steve, and good morning. I would like to begin my remarks today by reviewing the 4Q 2017 supplemental slides that we released last evening along with our earnings release and quarterly financial supplement. These slides address several key areas of focus for investors: fourth quarter and full-year 2017 financial results; our group annuity reserve charge; Long Term Care; and the impacts from tax reform. I will start with comments on our fourth quarter results and business highlights starting on page 3. This schedule provides a reconciliation of net income and adjusted earnings in the fourth quarter. Net income was $2.1 billion and was $1.4 billion higher than adjusted earnings of $678 million, primarily due to the benefits from tax reform. I will provide more details on tax reform later in this presentation. Net investment gains and net derivative losses were relatively modest and essentially offset in the quarter. Overall, the investment portfolio and hedging program performed as expected. Book value per share, excluding AOCI other than FCTA, was $42.24 as of December 31, up 4% versus the sequential quarter, primarily due to the impacts of tax reform. As of January 1, 2018, we expect this amount to decrease by approximately 2% with the adoption of certain new accounting rules. This is primarily driven by a one-time reclassification from retained earnings to AOCI due to the impacts of tax reform that are attributable to AOCI, but were required to be reported in net income in 2017. Our notable items in the quarter are highlighted on page 4. We've quantified these notable items into five categories that we highlighted in our news release and quarterly financial supplement. First, we had a one-time negative impact of $298 million after-tax, or $0.28 per share, primarily due to the one-time repatriation transition tax on our unremitted overseas earnings and the revaluation of deferred taxes to the new tax rate of 21% Second, various insurance adjustments, including $62 million after-tax or $0.06 per share due to the group annuity reserve charge, reduced adjusted earnings by $110 million after-tax or $0.10 per share. Third, litigation and other settlement costs, including the strengthening of asbestos reserves, reduced adjusted earnings by $55 million after-tax or $0.05 per share. Fourth, expenses related to our unit cost initiative decreased adjusted earnings by $42 million after-tax $0.04 per share. And fifth, favorable prior-year developments increased adjusted earnings by $7 million after-tax or $0.01 per share. Catastrophe losses were $18 million after-tax, in line with plan. In total, notable items in the quarter reduced adjusted earnings by $498 million or $0.47 per share. Adjusted earnings, excluding notable items, were $1.2 billion or $1.11 per share. On page 5, you can see the year-over-year adjusted earnings, excluding total notable items, by segment. Excluding all notable items in both periods, adjusted earnings were down 2% year-over-year. On a per share basis, adjusted earnings were $1.11, up 3%, and up 2% on a constant currency basis. The better results on an EPS basis reflect the cumulative impact from share repurchases. Positive year-over-year drivers in the quarter included solid volume growth, lower expenses and favorable underwriting as well as strong equity market results. These were offset by weaker investment margins and an unusually lower effective tax rate in the fourth quarter of 2016. Recurring investment income was essentially flat from a year ago. In the quarter, our global new money yield stood at 3.23% compared to an average roll-off rate of 3.98%. We would expect our new money rate and roll-off rate to converge at roughly 3% on the 10-year U.S. Treasury. Pre-tax variable investment income was $216 million in the quarter, within our quarterly guidance range of $200 million to $250 million. As a large investor in the U.S. fixed income market, MetLife will benefit if higher economic growth leads to higher interest rates and an extension of the credit cycle In regards to business performance, Group Benefits had another strong quarter, with adjusted earnings up 32% quarter-over-quarter. The primary drivers were strong non-medical health underwriting and good expense control. Group Benefits is a cornerstone franchise for MetLife and delivered stellar results in 2017, highlighted by adjusted earnings growth of 26%, sales rising 19%, and PFO growth of 5% excluding the impact from the loss of a large dental contract, as previously discussed. Adjusted earnings in Retirement and Income Solutions, or RIS, continue to be pressured by the flatter yield curve. The 20% year-over-year decline, excluding notable items, was driven by lower interest and underwriting margin, including an $8 million after-tax in-quarter impact related to the group annuity reserve charge. This was partially offset by volume growth and lower expenses. Despite the recent challenges, RIS is an important business for the company, which aligns well with our strategy and insurance fundamentals , specifically the pension risk transfers, our view of the business has not changed. In 2017, we had record PRT sales of $3.3 billion and expect 2018 to be another active year. Property & Casualty, or P&C, had a strong quarter as adjusted earnings, excluding notable items, doubled year-over-year, driven by favorable auto underwriting results. Auto results have benefited from targeted rate increases and management action to create value. For the full year 2017, P&C adjusted earnings, excluding notable items, were 45% higher than 2016. The key driver was the auto combined ratio, which improved 5.8 percentage points in 2017. Asia adjusted earnings were down 12% year-over-year, primarily due to tax items in Japan, the impact of the change in Japan's effective tax rate and the reversal of tax accrual in the fourth quarter 2016. Asia sales were up 1% on a constant currency basis. In Japan, sales were flat year-over-year as the shift to foreign currency whole life has proven successful. FX life sales were up 27%, while Yen life sales were down 77%. FX life sales accounted for 90% of total life sales in Japan this quarter. Emerging market sales in Asia were up 26%, driven by China, which continues to have strong agency growth. Latin America adjusted earnings in the fourth quarter were up 2% and flat on a constant currency basis. The key drivers were volume growth and more favorable market impacts, offset by higher initiative and non-recurring expenses, the fee reduction in Provida and taxes. LatAm PFO growth was up 8% and up 5% on a constant currency basis. Growth has been tempered by the pension market in Chile and the large group market in Mexico. Business performance in Provida has been promising as net transfers in this business were positive during the fourth quarter for the first time in over a year. EMEA adjusted earnings were up 10% and 5% on a constant currency basis, driven by volume growth in Turkey and Western Europe and favorable expense margins. MetLife Holdings adjusted earnings were down 17%, excluding notable items, primarily due to lower interest margin and higher expenses. While the quarters have been noisy as MetLife Holdings move through the separation, the year overall has produced solid results. Adjusting for notable items, earnings for the full year 2017 were down 6% from the previous year. Favorable equity markets and lower expenses were key contributors as well as solid life underwriting results. Corporate & Other adjusted loss was $133 million, excluding notable items related to tax reform, our unit cost initiative and litigation expenses. This was within the quarterly range implied in our 2017 guidance and compares favorably to an adjusted loss of $152 million in the fourth quarter 2016. I will provide an update to our 2018 guidance for Corporate & Other shortly. Now let me address the group annuity reserve charge and related material weakness identified by MetLife's management, which required a revision of our prior financial statements. Page 6 provides some background on our RIS group annuity business. The practice of releasing group annuity reserves that required correction go back approximately 25 years. The subgroup most impacted by the group annuity reserve charge is approximately 13,500 of the 600,000 annuitants, or approximately 2% of the overall population. To further size this business, total group annuity reserves are roughly $40 billion. Page 7 provides a breakdown of the group annuity reserve charge. In total, the charge was $510 million pre-tax, which is below the bottom end of the guidance of $525 million to $575 million pre-tax estimated on our January 29 press release. On an after-tax basis, the charge was $331 million using the U.S. tax rate of 35% for all periods. In total, the correction for prior-year periods was $372 million pre-tax, or $241 million after-tax. You will notice in our quarterly financial supplement that some of the historical quarterly and annual numbers for 2016 and 2017 have changed slightly. You can see the impact summarized in the revision to prior-period net income slide in the appendix. These changes are a function of the historical revisions that we performed during the fourth quarter. The small differences reflect the correction of minor prior-period errors, which was required in the U.S. GAAP accounting. For those who produce financial models of MetLife, this will unfortunately require some updating on your part. Let me turn to page 8 to discuss the material weakness in internal control over financial reporting identified by management during the fourth quarter. As Steve described, the material weakness is only related to the group annuity business with respect to two elements: administrative practices and escalation. On page 9, I will offer more detail on our efforts to remediate the material weakness. Relative to our group annuity administrative practices, we are correcting the reserve release practices to ensure improvements are made. These would include earlier, more frequent and simpler communication to annuitants as well as the use of certified mail, additional external databases and more locator services, among other things. Relative to escalation, we are reviewing our practices regarding timely communication and knowledge-sharing throughout the company. We are hiring advisors to conduct a comprehensive analysis, which will be overseen by our Chief Risk Officer, Ramy Tadros. We believe these measures will strengthen MetLife's internal control over financial reporting. Our efforts to remediate the material weakness are ongoing and we expect to make progress throughout 2018. Turning to page 10, let me address another topic that may be on your mind: Long Term Care. We announced our exit from Long Term Care in 2010. We were historically conservative in our policy provisions and conservative in new business underwriting. For example, only 16% of our policies offer lifetime benefit, and the vast majority reimburse actual incurred expenses as opposed to being cash plan. Our largest blocks were fully underwritten at issue for medical and cognitive impairments. Beyond that, our Long Term Care book of business is around 40% group with generally lower ages, smaller policies and less generous provisions than individual. Our book of Long Term Care generates annual premium of roughly $750 million aided by consistent rate action. In 2017, these were 7% on average across the full LTC book. We have approximately $11.5 billion of GAAP LTC liabilities and $14 billion of statutory LTC liabilities. Collecting more premiums sooner makes a big difference in the economic performance of the block. We started that process early, making our first rate increase request with the states in 2008. We will review updated assumptions each year for loss recognition in statutory and cash flow testing. Based on our 2017 results, we have a comfortable margin about current loss recognition. We also update claim reserve assumptions each year to reflect actual experience. As a New York-domiciled company, we are subject to New York state regulatory oversight. Among other things, this means we do not factor in future rate increases into our reserve calculations. Lastly, we do all of our own claims administration, which means we control the checkbook rather than a third-party administrator. While we no longer write this business, we've been involved for a long time and that experience has been reflected in our Long Term Care results. Now let's talk about tax reform on page 11. We have a one-time net benefit of $1.2 billion in the fourth quarter as a result of tax reform. The remeasurement of our deferred tax liability resulted in a benefit of $1.4 billion, which includes a $128 million negative impact to adjusted earnings. This was less than our guidance that we provided on the outlook call of $1.5 billion to $2 billion due to fourth quarter items and the group annuity reserve charge. In addition, we have a $170 million charge to adjusted earnings due to a one-time repatriation transition tax. Looking ahead, we now expect the company's 2018 effective tax rate to be between 18% to 20%, which is lower than our prior guidance of 23% to 25%. In regards to cash taxes, we expect a modest reduction in our annual U.S. cash tax liability and consistent with the recent past, cash tax payments to the IRS will not be significant for at least six years. Next, I would like to update you on some of the guidance we provided on our outlook call in December. Following tax reform, our guidance in 2018 for the Corporate & Other adjusted loss moves to $650 million to $850 million. This reflects the new lower 21% corporate tax rate. Relative to the prior guidance range, the increased Corporate & Other adjusted loss is expected to be more than offset by lower taxes and higher adjusted earnings in our U.S. businesses. Other points of guidance provided on our outlook call such as interest rate and other sensitivities were also based on a 35% tax rate. For those, simple math can get you to the sensitivities associated with a 21% tax rate. We are comfortable maintaining our target free cash flow ratio at 65% to 75% of adjusted earnings, on average, over 2018 and 2019. There are a couple considerations. Tax reform will impact the timing of our tax cash flows and separately, there's an impact from the group annuity reserve addition. Taken together, we expect the ratio to be at the lower end of the range over the two-year period. As Steve indicated earlier, we anticipate no change to our capital management plan, as articulated on our outlook call in December. I will now discuss our cash and capital position. Cash and liquid assets at the holding companies were approximately $5.7 billion at December 31, which is down from $6.5 billion at September 30. The $800 million decrease in holdco cash in the quarter reflects the net effects of subsidiary dividends, share repurchases, payment of our common dividends, holding company expenses as well as a $1 billion debt maturity in December. In addition, our 2017 free cash flow ratio was 75% of adjusted earnings, excluding notable items and cash flows related to Brighthouse. Next, I would like to provide you with an update on our capital position. While we have not completed our risk-based capital calculations for 2017, we estimate our U.S. combined RBC ratio will remain above 400% on a NAIC basis. Preliminary full-year 2017 U.S. statutory operating earnings were approximately $3.4 billion and net earnings were approximately $2.4 billion. Statutory operating earnings reflects favorable underwriting, partially offset by higher reserves and higher taxes. Net earnings were also impacted by losses on derivatives. We estimate that our total U.S. statutory adjusted capital was approximately $18.5 billion as at December 31, 2017. Statutory operating earnings were offset by dividends and derivative losses. Finally, the Japan solvency margin ratio was 863% as of September 30, which is the latest public data. Overall, while our group annuity issue presented challenges in the fourth quarter, our cash and capital position remains strong. I would like to add my personal regret over the delay in reporting. I appreciate your patience and I look forward to your questions. And, with that, I'd turn it back to the operator for your questions.
Operator: Thank you. Your first question comes from the line of Sean Dargan from Wells Fargo. Please go ahead.
Sean Dargan - Wells Fargo Securities LLC: Thanks, and good morning. I just have a question about the guidance for higher Corporate after-tax losses. Just to be clear, there's no change in guidance at the enterprise level because the operating segments will produce higher earnings due to a lower tax rate, which will more than offset the higher after-tax loss in Corporate?
John C. R. Hele - MetLife, Inc.: Hi, Sean. This is John. Yes, that's true. It's not intuitive, if you look at the net number that we talk about with the Corporate loss, and that's because the Corporate pre-tax loss is larger than you may think, and there's more tax credits than normal than the 35%. So, the total change, the increase in our range of $200 million is totally and only due to tax reform changes and this will be mitigated by better margins in the rest of our business.
Sean Dargan - Wells Fargo Securities LLC: Okay. Thanks. And then I have a question about the reviews that the New York Department and the SEC are doing regarding the group annuitants. Are they essentially doing competing reviews or are they taking the findings of your internal review? I'm just wondering if you can give us any context of your understanding of how their processes are working.
Steven A. Kandarian - MetLife, Inc.: Sean, it's Steve. Each has its own regulatory arena. The New York Department of Financial Services is obviously our primary insurance regulator and SEC is for securities matter, so each has its own arena, and we're cooperating with both fully. And we can't predict exactly how long this will play out. It's a process that will take its own course.
Sean Dargan - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Your next question comes from the line of Tom Gallagher from Evercore ISI. Please go ahead.
Thomas Gallagher - Evercore Group LLC: Hey. First question, Steve, just in terms of the internal global claims review you did across all your businesses, it seem to wrap up pretty quickly, considering just the timing here. Can you talk a bit about your confidence in the depth of the review and the fact that you're highly confident this is isolated – this situation is isolated to only the group annuity business?
Steven A. Kandarian - MetLife, Inc.: Sure, Tom. When this matter came to light, we made sure we had the resources within countries and regions to put all necessary people against this review to get to the right answers; meaning, determining exactly what might else be out there in the same arena. And people are working very, very long hours, evenings, weekends, et cetera. And as reported, we have found nothing material coming out of that review, which was encouraging. To your point, there's always things in an insurance company, over the years, that you look at. You may change your estimates, change your actuarial assumptions and the like, or find new and better ways of doing things. But this was a very extensive and thorough review of our international operations.
Thomas Gallagher - Evercore Group LLC: Got you. And just my follow-up, John, you had mentioned you have a comfortable margin above loss recognition for Long Term Care. Can you help a little bit, at least directionally, on the quantification of that? Are we talking about a margin of 10%, closer to 50%? Just any directional help on that would be appreciated.
John C. R. Hele - MetLife, Inc.: In U.S. GAAP, it's over 10% but not 50%. How's that for a range?
Thomas Gallagher - Evercore Group LLC: Got it. Somewhere above 10%, below 50%. Okay.
John C. R. Hele - MetLife, Inc.: Yeah, it's definitely above 10%. And it's all in the assumptions you make and how you think about it. So, it is complex, but we do a lot of work on this and we continue to work to have a better claims management as well as appropriate rate filings with the state. So, this is an ongoing effort we've had. We've had it for quite a long time on this. And don't forget, on a statutory basis, we tested more conservative assumptions than GAAP and you can see the statutory reserves are larger than the GAAP reserves.
Thomas Gallagher - Evercore Group LLC: Okay, thanks.
Operator: Your next question comes from the line of Jimmy Bhullar from JPMorgan. Please go ahead.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Hi. Good morning. I had a few questions. First, on your Asia sales, I think they were up just overall around 1%. And if I look at Japan, obviously, there's a product mix shift going on. So, first question on that is what are the annuities that you're selling in Japan? Because that's the product that seem to grow a lot. And then secondly, if you look at non-Asia sales, those were actually up less than 2%, as well. So, what's going on, if you could give us some detail there?
Steven J. Goulart - MetLife, Inc.: Hi, Jimmy. It's Steve Goulart. Let me start and I'll ask Sachin Shah to comment a little bit more on Japan. But basically, when you look at all of Asia as a region, it was really some very strong performance and then some sort of flattish performance. But when you look at emerging markets, essentially our sales were up over 25% there on a year-over-year basis, and that was led by China where sales were up over 30%. Offsetting that a little bit were performances in Korea and Hong Kong on a quarterly basis, and those are just unusual events. The timing of a sales campaign in Korea was one impact. In Hong Kong, there were some regulatory changes that I think ended up with sort of a fire sale result when you look at the fourth quarter of last quarter. So, overall, again, very strong, we're very pleased with sales. I think Japan was flat and a lot of that had to do with change in mix. But let me ask Sachin if he wants to comment anymore on Japan.
Sachin N. Shah - Metlife Insurance KK: Can you hear me? Okay. Sorry, Jimmy, a little technical glitch there. In the Retirement segment, we sell predominantly fixed annuity products. These products are fixed-term products, typically 3 years, 5 years or 10 years in term and the customer is targeting a specific maturity period and looking for a target return. These products also have MVAs built into them, and so the customer is bearing the foreign currency and market risk in the product.
Jamminder Singh Bhullar - JPMorgan Securities LLC: And are they primarily forex as opposed to Japanese yen products?
Sachin N. Shah - Metlife Insurance KK: All of our life insurance products, 90% of our life insurance sales and 100% of our annuities sales are foreign currency products.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Okay, thanks. And then for John, on the Brighthouse sale, I realize you had been buying back stock through the whole review process. Can you give us just some color on the process that you have to go through for selling Brighthouse? I think there's a limited window given that you have to do a filing and then after that there's a little bit of a quiet period or so. So, what's the process that you'd need to go through and is it even feasible that you could do it in the first-by the end of the first quarter?
John C. R. Hele - MetLife, Inc.: Hi, Jimmy. This is John. Let me follow up on your Asia question. You're right, the Other Asia wasn't up quite as much. Steve was referring to emerging markets were very strong, but in Korea and Hong Kong, there's some timing points of sales quarter-over-quarter. If you look at the full year, though, for Other Asia, the growth of sales is up 20%. So, there's some timing quarter-to-quarter, but we're very pleased with our Other Asia sales growth in the year. And on BHF, you're right, we have to file with the SEC for some work for some no-action relief and we need a long enough open window, 20 days of trading days in order to walk through it. And sometimes it goes a few days beyond that, so we have to pick a window where we don't run afoul of various information. So, the timing we haven't exactly set on yet, but it will have to be in a long enough window and we will let you know when we get it filed and going.
Jamminder Singh Bhullar - JPMorgan Securities LLC: And then just lastly, have you disclosed or are you able to disclose what your interest rate assumption is for your Long Term Care reserves?
John C. R. Hele - MetLife, Inc.: The interest rates in GAAP start at the current curve and slowly grade like all of our U.S. GAAP assumptions to a (42:55) 10-year Treasury out about 11 years from now and is statutory. It's tested at various different rates, including level rates forever.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Okay. Thank you.
Operator: Your next question comes from the line of Ryan Krueger from KBW. Please go ahead.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Hi. Thanks. Good morning. I was just hoping you could touch upon if we should think about any real go-forward financial impact following the group annuity issue in terms of either elevated expenses related to the remediation efforts or if you think it will impact your growth in the RIS business?
John C. R. Hele - MetLife, Inc.: Sure, why don't I take some expenses. We're doing these outreach programs and doing additional efforts there, we expect those costs would be absorbed by the business. There may be for the investigation we're doing led by the Chief Risk Officer could be some slightly higher expenses throughout the year, but we believe those would be still within the Corporate & Other range that we've given you for expenses for the overall year. And I'll turn it over to Michel to speak about the business impacts.
Michel A. Khalaf - MetLife, Inc.: So obviously, Ryan, our focus and energy will be on resolving the issue that we disclosed and finding as many of the missing annuitants as possible and initiating payments to them. Having said that, we have a lot of expertise, we're a leader in the PRT space. We have a lot of expertise in terms of asset management, underwriting, liability management. And last year, as a matter of fact, we had a record year in terms of new business in PRT. So we're going to continue to be active in this market and we believe that with our enhanced process, which will be a best-in-class, we will remain competitive and we'll continue to win new business.
John C. R. Hele - MetLife, Inc.: Hey, Ryan. This is John again. I want to just add, on slide 7, we showed you the 4Q's in-quarter activity of minus $8 million after-tax. So, you should add that into future modeling that you have of that business, that amount would be roughly recurring.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Got it. And then, separately, can you discuss your view of the sustainability of tax reform benefits in your Group Benefits business versus passing through lower tax rates through pricing over time?
Michel A. Khalaf - MetLife, Inc.: Yeah, this is Michel again. So, we're going to see a benefit, but we expect that returns will normalize over time. So, if we think about our group business, obviously, renewals are done for 2018. Typically, our Group Life business has a three to five-year rate guarantee; our disability business, typically two-year guarantees; and dental is renewed annually. So, tax is a factor that goes into our pricing, it's not the only factor. A lot will depend on the competitive environment. Again, we don't compete solely on price. But we expect that over time, as business renews, as we compete for new business, we'll have to give back some of the benefit that we're getting from the tax reform.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Great. Thank you.
Operator: Your next question comes from the line of Suneet Kamath from Citi. Please go ahead.
Suneet Kamath - Citigroup Global Markets, Inc. (Broker): Thanks. I wanted to follow up on the reviews by the New York Department of Financial Services and the SEC. One of the large banks recently was surprised with the limitations on growth by their main regulator. Do either of those regulators have any jurisdiction on your kind of forward capital management plans or your ability to grow the business?
Steven A. Kandarian - MetLife, Inc.: Suneet, I think you're referring to the Federal Reserve, which does not have authority over us.
Suneet Kamath - Citigroup Global Markets, Inc. (Broker): Right. I'm talking about the specific regulators that are reviewing your group annuity issues. I'm not talking about the Federal Reserve, I'm talking about the NYDFS and the SEC, do they have any jurisdiction on those plans?
Steven A. Kandarian - MetLife, Inc.: On the issue of what exactly you're asking?
Suneet Kamath - Citigroup Global Markets, Inc. (Broker): In terms of your ability to return capital. Like, these reviews are ongoing, right? So, we don't know what the outcome is going to be, but I guess my question is, is there something that could surprise us in terms of what they ultimately decide related to your capital management plan, that's my question.
Steven A. Kandarian - MetLife, Inc.: Well, the DFS approves dividends, but I think the case you're referring to, I don't anticipate that being applicable to us.
Suneet Kamath - Citigroup Global Markets, Inc. (Broker): Okay. And then just given the big move-up in rates that we saw in the first quarter, should we be expecting a stat impact in terms of your capital at the end of the first quarter as well as a GAAP book value impact?
John C. R. Hele - MetLife, Inc.: Hi, Suneet. It's John. Well, as you know and as we announced last year, we have changed our hedging strategy to be less sensitive to changes in interest rates than we were historically. So, there will be some impact because it's never perfect, but it should be less muted than it has been in the past.
Suneet Kamath - Citigroup Global Markets, Inc. (Broker): Got it. And then just lastly on the capital management plan, are you still-is that liability management component that you guided to still kind of part of your expectations for 2018 in terms of debt reduction?
John C. R. Hele - MetLife, Inc.: Yes.
Suneet Kamath - Citigroup Global Markets, Inc. (Broker): Got it. Okay, thanks.
Operator: Your next question comes from the line of Erik Bass from Autonomous Research. Please go ahead.
Erik Bass - Autonomous Research: Hi. Thank you. John, I was hoping you could walk through more of the dynamics around tax reform on your free cash flow. And, I guess, are there places where the actual dollar amount of free cash flow is expected to increase over time?
John C. R. Hele - MetLife, Inc.: Well, let's remember, we talk about free cash flow as a percentage of cash we get from our subsidiaries and, well, the largest being the U.S. companies, which is on a statutory basis. And there's a delay, of course, you get the dividend approved for the following year based on your last year's earnings. And then the denominator is your GAAP earnings. So, our GAAP earnings are going to go up by the change in tax reform by about 5 points. So out of the get-go, even with the same dividend and as there's like a year delay in getting this all done, we also have the charge in stat that will impact dividend capacity slightly in 2018. So, we expect, compared to where we were pre, to have some lower numbers in 2018, a little better – it will improve in 2019. So, there's a bit of timing going on. We're not currently a very large cash taxpayer in the U.S. and it will be some time before we are, so you have that dynamic going on. But we have reiterated we expect to be at the low end of the two-year average 65% to 75% over 2018 and 2019.
Erik Bass - Autonomous Research: Okay, thanks. And then is there any impact from either the reserve review or the ongoing controls remediation efforts on the timing of other projects or investments that you had planned for 2018?
John C. R. Hele - MetLife, Inc.: No, we will fund these additionally to what we have, and we are still working very hard on our unit cost initiative projects and all the other improvements we're making throughout the world.
Erik Bass - Autonomous Research: Okay, thank you. And then, sorry, just last, Steve, you had commented that the board is involved in the review process. Can you just expand on your comment there and what capacity they're playing?
Steven A. Kandarian - MetLife, Inc.: They're playing their normal oversight role. The Audit Committee, in particular, and the full Board of Directors is quite involved in all the discussions that we've had internally in the company and we keep them updated on a regular basis.
Erik Bass - Autonomous Research: Okay. Thank you.
Operator: Your next question comes from the line of Jay Gelb from Barclays. Please go ahead.
Jay Gelb - Barclays Capital, Inc.: Thank you. My first question is on the capital return expectations for 2018. It was sort of pointing to around the $5 billion range on the outlook call. Just want to make sure that that's still a reasonable expectation for 2018.
John C. R. Hele - MetLife, Inc.: Yes, that would include the buybacks we plan, the remaining $1.4 billion we have outstanding under the $2 billion authorization, the exchange of the Brighthouse shares and the common dividend.
Jay Gelb - Barclays Capital, Inc.: That's what I thought. Thank you. Second, is there any potential put-back exposure from Brighthouse with regard to any pension risk transfer exposure they might have to MET?
John C. R. Hele - MetLife, Inc.: When Brighthouse was spun and separated, we have a separation master agreement and anything prior to 1/1/2017, we have ours, they have theirs, and that's how it's set up.
Jay Gelb - Barclays Capital, Inc.: So, it's separate? MET has, in your view, fully addressed any potential exposure there?
John C. R. Hele - MetLife, Inc.: Yes.
Jay Gelb - Barclays Capital, Inc.: Great, thanks. And then just a final question on tax. Should we just assume a 18% to 20% tax rate across all of MET's segments for simplicity sake or would there be different rates in different segments?
John C. R. Hele - MetLife, Inc.: Well, there'll be different rates in different segments. Our overseas tax rate is 25%, 26-ish, and then we have the U.S. tax rate 21%, we get some tax credits from many of our investments, so you will see some changes.
Jay Gelb - Barclays Capital, Inc.: Thanks.
Operator: Your next question comes from the line of Alex Scott from Goldman Sachs. Please go ahead.
Alex Scott - Goldman Sachs & Co. LLC: Good morning. First one was just following the move-up in the 10-year and, I guess, there's a lot of changes that have been made since the last time you guys kind of opined on ROE, is there any update to thinking about the spread on the 10-year that you'll ultimately be able to achieve as you have the unit cost program phased in?
John C. R. Hele - MetLife, Inc.: Well, I think you're referring to the ROE target relative to the 10-year and, as we've said, this is a longer-term target. When the 10-year spikes up in a quarter, our overall company ROE will not spike up and follow instantly in the quarter. It's meant to be a general average over time. We think it makes sense now that we're at slightly higher rates as they stay in. Our earnings power will increase over time and it will move towards that. But at any small period of time moving 30 basis points, 40 basis points, there won't be a direct-it takes time for the whole portfolio to change and move. Have I answered your question correctly?
Alex Scott - Goldman Sachs & Co. LLC: Yeah. But just in terms of like the spread piece of it above the 10-year, I mean, is the view sort of unchanged around where you can ultimately get to?
John C. R. Hele - MetLife, Inc.: Yes. Over time, we're 800 basis points to 900 basis points and we expect to prove even beyond that as we improve our unit cost post 2020.
Alex Scott - Goldman Sachs & Co. LLC: And the follow-up on just the TSAs with Brighthouse, could you quantify for us how that may be impacting either – whether it be MetLife Holdings or earnings in Corporate?
John C. R. Hele - MetLife, Inc.: Yeah. Well, we will expect as TSAs go down, we do have higher strand that will increase slowly over time, and that's why we have this unit cost initiative to help offset that as it goes through. So, those two tend to offset each other. And as we announced, we're going to start giving you some expense ratios published with the sub details, so you can track us on a quarterly basis starting in the first quarter of 2018 and you'll be able to see how all this folds out over time.
Alex Scott - Goldman Sachs & Co. LLC: Okay. Great, thanks.
Operator: Your next question comes from the line of Larry Greenberg from Janney. Please go ahead.
Larry Greenberg - Janney Montgomery Scott LLC: Good morning. Thank you. So, with the 10-year up over 40 bps since the beginning of the year, you had given us the fourth quarter new money versus roll-off rate. Can you give us some idea where that might stand today?
Steven J. Goulart - MetLife, Inc.: Probably not a lot of color, Larry. This is Steve Goulart, by the way. But it's hard when you look at the new money yield. It moves around a lot on a quarter-by-quarter basis, just given our overall activity for the quarter, how much we're reinvesting, whether that's coming off of roll-off and what sort of roll-off and where we're seeing relative value and what our needs are for portfolio investing strategies in that quarter. So really just looking at a quarter-to-quarter basis I think is probably not the best way to think about what's going on. You want to think about long-term trends. And, again, we like the fact that interest rates continue to move up. We think that's going to be good for the portfolio overall and good for our earnings on the portfolio. So I would expect that number in general to increase, but, again, on an actual quarter-to-quarter basis, it's really impacted by a lot of the intra-quarter activity.
Larry Greenberg - Janney Montgomery Scott LLC: Okay. But in terms of the talking about convergence of the two at a 3% 10-year, assume that happened over a period of time, should we assume that there's kind of a linear relationship along that path in how that spread would compress?
Steven J. Goulart - MetLife, Inc.: Well, what John was referring to was what we call our sort of roll-off/reinvest dilemma, i.e., the difference between where we're investing new money and what the roll-off yield is. And as we've said for several quarters, we do try and estimate what that would look like, at what point are we reinvesting at a breakeven level versus the roll-off securities from the portfolio, and John mentioned that's roughly 3%, probably a little bit above 3%, but there are also assumptions baked into that, too. Most importantly, that all spread relationships stay the same. Again, it's a positive trend. I mean, interest rates are heading higher. We know that as we approach a 3% 10-year, the portfolio investment options start looking better, we start eliminating some of the negative roll-off that's been impacting our portfolio yield over time, and so it's all very positive. Is it exactly linear? Never exactly linear, but the trend is certainly positive. And, again, as we approach a 3% 10-year that that will persist over time, that will be very positive for us.
Larry Greenberg - Janney Montgomery Scott LLC: Okay. Thank you. And then just one kind of model housekeeping. Can you just tell us where the – for the expense initiatives, where the cumulative savings initiatives stood as of year-end 2017 and what your expectation is for the cumulative savings as of the end of 2018?
John C. R. Hele - MetLife, Inc.: As of the end of 2017 cumulatively we're about $400 million in saves. And that was our – that's basically our target we had. Our one-time is running a little less than we had. We expect they'll get caught up, though, throughout the next two years.
Larry Greenberg - Janney Montgomery Scott LLC: And then is there a number for year-end 2018?
John C. R. Hele - MetLife, Inc.: Yeah, we're still basically on the original slide that we gave you for the guidance that we had and, again, we'll give you some more details of this in an easier way to follow this on an ongoing basis. The trouble of all these programs is you save money in one place, but you're growing as well, so how do you know whether it's really flowing through or not. And that's why the expense ratio will be really the key measure. That's what we check ourselves with, the board checks us with, because you have these trackings, but it's also not just saving the money in the UCI program, but making sure you're being efficient elsewhere and you're not losing margin elsewhere in your firm. And as I said, we'll give you good clarity on this during the first quarter and we'll have regular discussions on it each quarter for you.
Larry Greenberg - Janney Montgomery Scott LLC: Thank you.
Operator: Your next question comes from the line of Humphrey Lee from Dowling. Please go ahead.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Good morning, and thank you for taking my questions. Just want to follow on Ryan's question related to pension risk transfer. So I hear you loud and clear about your commitments to the business, but have your conversation with clients or brokers changed as a result of the incident?
Michel A. Khalaf - MetLife, Inc.: Well, I mean, clearly – this is Michel. Clearly, Humphrey, we are engaging with our key brokers, intermediaries to bring them up to speed on the issue and also to go through what we are doing to address it and the urgency and the resources that we're putting behind addressing this issue. So we're having those conversations as we speak. And ultimately, the market will decide how it will react to this matter. I think from our standpoint, we're making sure that we do everything humanly possible to deal with this issue to find those missing annuitants and to initiate payments and to have a process in place that we believe will be best-in-class in the industry.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: So, in John's prepared remarks, he talked about the outlook for 2018 is still pretty strong compared to 2017, but given some of the discussions that you will have, should we expect some of the – I mean, the pipeline will be more back-end loaded in 2018?
Michel A. Khalaf - MetLife, Inc.: Well, I mean, typically PRT tends to be back-end loaded. We see much more activity in the second half of the year compared to the first half. So, I mean, this 2018 could be different, but we expect it to be a typical year in this regard. I just want to also stress that PRT is one component of our RIS business. We have other components of this business that continue to perform strongly, stable value, for example, structured settlements, and our capital markets business as well. So, that's one component of our overall RIS business.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Got it. And then, so now with the review completed, are there still any risks that your auditors may issue a qualified opinion for your financial statement?
Steven A. Kandarian - MetLife, Inc.: No.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Okay, thanks.
Operator: And your final question today comes from the line of Josh Shanker from Deutsche Bank. Please go ahead.
Josh D. Shanker - Deutsche Bank Securities, Inc.: Yeah, thanks. Most of my questions have been answered. I just want to confirm, with the regulatory inquiry from the SEC and the New York Department of Finance, will we receive notification at some point that their interest in the matter is concluded? Or could this be an open-ended sort of thing we never really know their position on the matter?
Steven A. Kandarian - MetLife, Inc.: Josh, they'll go through their process, and once they've felt like they've come to a conclusion, they'll let us know, and we'll certainly communicate that to the marketplace.
Josh D. Shanker - Deutsche Bank Securities, Inc.: And do you have any reserve for legal costs associated with that or potential funds?
Steven A. Kandarian - MetLife, Inc.: We do not. It's not something that's estimable right now, so we're not able to book that.
Josh D. Shanker - Deutsche Bank Securities, Inc.: Okay. Thank you very much and good luck.
Operator: Ladies and gentlemen, this conference will be available for replay after 10:00 A.M. Eastern time today through February 21. You may access the AT&T Teleconference Replay System at any time by dialing 1-800-475-6701 and entering the access code 433148. International participants dial 320-365-3844. Those numbers, once again, are 1-800-475-6701 or 320-365-3844 with the access code 433148. That does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.